Operator: Good afternoon, ladies and gentlemen, welcome to Companhia Paranaense de Energia - COPEL's Video Conference Call to discuss the results of the First Quarter 2023. This call is being recorded, and the replay may be accessed at the company’s website, ri.copel.com and the presentation is also available for download. We would like to inform you that all participants will be in listen-only mode during the conference and afterwards we will have a Q&A session, when further instructions will be given. Before proceeding, we would like to mention that forward-looking statements are based on the beliefs and assumptions of the company’s management and information currently available to the company. These forward-looking statements may involve risks and uncertainties, as they refer to future events and therefore depend on circumstances that may or may not occur. Investors, analysts and journalists, should understand that events related to the macroeconomic environment, the industry and other sectors may make results be materially different from the prospective declarations. Today with us, we have Mr. Cassio Santana Da Silva, Director of Business Development and Acting CEO of COPEL, Mr. Adriano Moura, CFO, COPEL's, Mr. Fillipe Soares, Mr. Moacir Bertol and Mr. Maximiliano Orfali, Directors of fully-owned subsidiaries that will be available for the Q&A session. I would like now to give the floor to Mr. Santana da Silva. You may proceed. 
Cassio Santana da Silva: Good afternoon, everybody. Thank you very much for participating in our call. And I would like to inform you that exceptionally, we will not have the presence of Daniel because he is in the Parana day in New York City. In order to start, we would like to give you an update about the Copel's transformation process into a corporation. With a brief retrospective in November last year in the state of Parana with the intention of transforming Copel into a true corporation in the segment, the legislative assembly of Parana approved the law authorizing this transformation. In December, two relevant events happened, when Copel announced the study for the early renewal of the main three plants involving a public offering and the government of the state allowed us to hire one single team of advisers in order to give efficiency and expedite the process. In January, the company announced that it was contracting the first advisers to help the process and also approved a new collective bargaining agreement considering this new reality. Last month, there was a definition of the concession bonus by the Ministry of Mines and Energy BRL 3.7 billion for the three plants. And now we are waiting for the port of account ratification that should occur still within this half year. The payment of the concession bonus occurs 20 days after the concession contract is signed which should happen in December 2023. Another important milestone in the process was the state of Parana and Itau, signing an agreement to release the encumbrance on shares of Copel held by the state of Parana. And thus in the last day three, we asked them to release the shares that were guaranteeing the sufficient amount to have a secondary public offering. Right now our priority is to obtain the waivers from our creditors and also the conclusion of the valuation and due diligence processes that are being carried out by independent companies and with the oversight of the tribunal or the court of account of San Parana. I reiterate that the company is focused on the process and following all the rights of covenants and the controlling shareholder also continues its own procedures and we continue with the perspective of having the offering in October this year, with the date of the second quarter. Now, going to the recent important advancements of the company. I would like to mention the selection of the manager of the investment fund, the corporate venture capital program of Copel, the Copel Ventures, the CVC is part of the strategy of the company for 2030 and with the commitment of contributing R$150 million over the next few years, innovative proposals within the sector of energy and that are aligned with the portfolio of innovation and investment of the company. I would like to remind you that Copel already has Copel vote, an open innovation program, second edition already to focus on startups all over the world, offering solutions for the energy area. Our objective is to keep Copel as a trailblazer of innovation. Another item that should be mentioned is that Copel GeT won the award of the best in management, but the National Foundation of Quality with systemic thinking, organizational learning and innovation, transformative leadership, commitment with stakeholders, adaptability, sustainable development, process orientation and value generation are the factors that are taken into account. This is recognition of the company's efforts towards the good governance practices for our sustainable development. Still along the same continuous improvement of our operating efficiency and actuation and integrated fashion, Copel [Indiscernible] went under an internal restructuring to be the main entry gate for free clients of the company. The change when implemented unified the other trading company, all the areas that work with energy planning and sale of energy in the subsidiaries of generation distribution. And to finalize my part, I would like to highlight another strong quarter of our distribution company that not only maintained efficiency at two-digit, vis-à-vis the regulatory EBITDA, but also went up in efficiency. 12% in the previous quarter going to 13.6% with the result of the first quarter of '23. And with this financial highlight now, I would like to give the floor to Moura, who will talk in more detail about our results.
Adriano Moura: Thank you, Cassio. Good afternoon, everybody. I thank you all for participating. And besides the many advantages that Cassio mentioned, mainly the relevant progress in the process of corporation, we are also delivering another quarter of sound financial results with the indicator that you can see on the screen. Strong EBITDA growth, two-digit adjusted EBITDA, almost 11% and mainly represented by the improvement in the result of the DIS and including the Parcel B and the reduction of the allowance for bad debt as well as the better performance of the wind hubs and the startup of the new assets, Jandaira, Santa Rosa & Mundo Novo Aventura in the portfolio of Copel GeT. Besides, there was a reduction in cost in the company. In the purchase of sale of Copel GeT due to the high hydrology as well as the better margins of Copel Mercado Livre that practically doubled its adjusted EBITDA vis-a-vis last year. And net income excluding the non-recurring items we reached BRL 670 million in the quarter better than last year 2.9% vis-à-vis first quarter of 2022. And this increase of about BRL160 million in the EBITDA were partially reduced by the increase in financial costs not only by the increase in interest and inflation but also because of the higher debt and raising in January of BRL 1.3 billion for the acquisition of Santa Rosa Mundo Novo and Aventura complexes. In relation to the operating cash we closed the quarter with almost BRL700 million of operating cash generation. We are -- we already consider the impact of the ACT that was in January, but part of this agreement was in 2022. And the total impact in the quarter was almost BRL200 million with an indemnification of BRL138 million for the extension of the benefit of additional one-third of vacation given to all employees of Copel besides the constitutional one-third. And with that the compensation of our employees is more competitive with the market in general and we will no longer have this cost from now on. Another relevant impact in this cash generation mainly compared to the first quarter of 2022 was the reduction of the receipt of the tariff banners or flags that occurred in 2022. And we didn't have this in 2023. And a very relevant impact almost BRL 500 million. I would like to remind you that there was also a reduction in the tariff of sale of energy in retail 9.5% by the compensation of PIS and COFINS as a financial component in June 2022. These three items explain the reduction in our cash vis-à-vis last year. And the consolidated cash balance at the end of the first quarter was BRL 2.9 billion. We continue to have a sound financial position. Now going to the next slide. The non-recurring items and I would like to mention the indemnifications due to the extension of the benefit of the second one-third of vacation BRL138 million. And the other two have to do with BRL50.3 million referring to the mark-to-market of purchase and sale contract for energy of Copel Mercado Livre. And the reversal of impairment of assets in debt amounted to BRL37 million. Result of the expectation regarding the future sale offset by the increase in regulatory charges and operating costs. And here we are talking about Colided and Barsega [ph] specifically. And another reference here I think you can see this. A comparison on the same base of EBITDA without the result of equity income going up a little bit more 12% compared to the same quarter last year and this is what most analysts look at. On the next page we have the contribution of each business from one quarter 2022 to 1Q 2023. Once again you can see that this has a relevant improvement of over 30% in the EBITDA vis-à-vis the first quarter of 2022 compared more than BRL 120 million in contribution already reaching regulatory efficiency higher than 13% as Cassio said, and exceeding BRL500 million in adjusted EBITDA, besides the benefit of the Parcel B that in spite of the built grid market already with the effect of MGD adjustment 16.5% at USD contributed a lot. And also the relevant improvement in the PCLD or allowance for bad debt, resulting from a strong work done in our cuts and the recovery of past due bills. At GeT, adjusted EBITDA of BRL1 billion very -- the result of new acquisitions of the wind complexes, and the negative impact was the remuneration of assets of contracts affected by the reduction of the IPCA. In the free market, as I said, not considering the BRL50 million of mark-to-market non-recurrent and we consider that this improvement is very important and considers the margin in our energy sales. And just to finalize this part, I would like to reiterate that Copel Mercado Livre continues to be one of the top trading companies in Brazil and with an increasing strategic importance in the sale of energy by the Copel Group with a strong potential of sustainable growth and the capture of opportunities and for the opening of the Mercado Livre the new market. And in the PMSO, I would like to highlight two negative impact quarter-on-quarter. Already discussed, we have the indemnification of one-third of additional vacation of BRL138 million and also the growth of almost BRL70 million in third-party services, basically the increase in expenses with the maintenance of the system and facilities and consumer service call center. On the plus side, we have the reversal of provisions of BRL127 million. And getting into details of the result of PCLD was a reversal of BRL14 million vis-à-vis a supplementary provision last year of BRL51 million. So we are talking about over BRL65 million. And basically, because of the cuts, because of the COVID-19 pandemic and also the improvement in the practices for the recovery of receivables in COPEL Dis, congratulations to the whole team and also, reversal of BRL37 million from the result of impairment of assets of generation, and also 37% in provisions for litigation, mainly civil and labor excluding the non-recurrent items of this increase of 13.3%. Well, the trend is that it should go back to normal for the next few months or the next few quarters. And another highlight on the personnel line our collective agreement was over 7%. If you remove the effect of the BRL62 million, we will be talking about a slight reduction, showing our efforts in terms of cost reduction. Cost reduction continues to be one of the strategic pillars, as well as efficiency and continues on our agenda, with very clear goals and very clear objectives. And now we talk about the investment program. We have already carried out one fourth of the total for the year of BRL 2.2 billion total BRL 546 million by March, mainly in days, with focus on the continuation of the transformation program, contemplating Parana Trifasico and Smart Grid. And at GeT the focus is investments in reinforcement and improvements in transmission lines. And I would like to remind you, that the acquisition of the Aventura Santa Rosa and Mundo Novo Wind Complexes, are not included here in this BRL 2.2 billion. And so they do not -- they are not present in the potential payment of the bonus, or the concession bonus of BRL 3.7 billion. Now going to the end of my presentation already. Our leverage now 2.5 times. We had an increase in this quarter, due to the acquisition of the Wind Complexes in January, as well as the consolidation of the indebtedness that they already had that is to say, BNB, with a very low cost of debt compared to the current levels. And we understand that this level of leverage, is quite reasonable considering, a more balanced capital structure and totally compatible, with our ambitions of sustainable growth of our businesses. And this theme, is an important component in the definition of the size of the offering, that we are evaluating the transformation of the company, to a corporation that could include the primary issuance, mainly due to the payment of the concessions of the three plants and already thinking about our investment capacity, post-corporation that is to say, our capital structure the one that will be the most adequate considering Copel, as a corporation. We do not have a definition of these amount yet, but we are working, with many different scenarios and we will certainly inform the market as soon as we have this definition. And lastly, the level of annual amortization of our debt, is totally consistent,with our capacity of cash generation, even with a higher concentration in 2025 and totally addressed in our economic financial planning. I think this is it, and thank you very much for your participation and now we will have the Q&A session. 
Operator: Thank you very much. Now we will start the Q&A session. [Operator Instructions] 
Q – Unidentified Analyst: [indiscernible] from AZ Quest. Good afternoon. In the first quarter 2023, we had an increase in third-party services and also an increase in losses vis-à-vis the fourth quarter of 2020. What about reduction of costs and losses? What are you going to do about that? 
Cassio Santana da Silva : Thank you very much for the question. And Moacir, I would like you to start answering about the losses. 
Moacir Bertol : Thank you for the question. In fact the losses in the third quarter have not captured yet everything and we are waiting for the information about consumption. So March has not been totally included and we should see this in the short run. But there is no expectation for us to see any impact whatsoever on the tariff review of the middle of this year. So there will be no increase. And in terms of the service this is quite normal. At the beginning of the year, we had a lot of storms and this has a very -- or this means a very big burden for our teams and we have always to resort to third parties in order to help us. And also we have this policy of exchanging for [indiscernible] and part of that was transferred to third parties. But we should go back to normal in the next few months. Our average has already been below the average in the last six, seven quarters as you can see. So this quarter it was slightly higher, but this is going to be offset. And I am sure that we will keep this below the regulatory level. And we have the start up of the new assets mainly the wind ones and with the maintenance contracts and there was also a growth in third-party costs in generation and transmission because of that. 
Henrique Peretti : Henrique Peretti from JPMorgan. Good afternoon. I would like to understand the appetite of Copel for the transmission auctions this year. You will have to pay BRL 3.7 billion. Would you consider a primary offering in order to finance a greenfield transmission project? Thank you very much.
Cassio Santana da Silva : As we mentioned during the presentation our top priority on the part of the management is the company executing the corporation project. And as you said there is a bonus BRL 3.7 billion the concession bonus as you mentioned in your question. And very probably we will make an effort in terms of cash and we are going to -- we are studying this. And also with the primary funding or primary offering in -- so this means that all our attention is focused on this extremely relevant project. It affects 60% of our generating portfolio the three plants. So this is the reason why we're not focused on the transmission auction this year. And the teams that are involved in transmission are already studying the lots that will be offered but in 2024 not in the current year.
Operator: [Operator Instructions] Melina Gabatto [ph]. 
Unidentified Analyst: Are you going to announce dividends interest on equity?
Unidentified Speaker: Good afternoon. During the last meeting we approved the BRL950 million that remained that we declared last year in interest on equity. We paid BRL600 million last year and we should be paying by June the remaining balance BRL370 million. This has already been approved by our Board and this should be done next month. And then we will continue with our dividend policy depending on the leverage depending on our cash generation. And there is nothing I could tell you right now vis-à-vis 2023. 
Operator: [Operator Instructions] Our next question comes from Patricia Mili from [indiscernible].
Unidentified Analyst: What about your negotiations with the bank shareholders vis-à-vis the privatization waivers? I know that some meetings have not been called yet. When are you going to call these meetings? 
Cassio Santana da Silva: Patricia, good afternoon. This is a process that is going great strides. We started practically this month the corporation process and there are many phases. And one of them have to do with the convening of individuals and then legal entities in the next few weeks. We are going to call all the remaining meetings. This is already in our schedule in the corporation process as it should be. 
Operator: [Operator Instructions] Julu Pinero [ph] from Western Asset. 
Unidentified Analyst: The participation of the BNDES. Do you think they will be participating in the offering of October? Is there a deadline for that? 
Cassio Santana da Silva: Thank you for the question. The BNDES has not said anything about the offer yet. But what we can say is that the time is coming for this definition. We are starting to talk with our partners and we will have a full agenda for these contacts the next week. 
Operator: [Operator Instructions] Andre Sampaio.
Andre Sampaio: Good afternoon. What is your expectation for the voting procedures of the Court of Accounts and the State and the Union Court of Accounts?
Cassio Santana da Silva: The transformation process follows a very technical criterion. We have 14 phases that are detailed in the process such as we saw in telecom, you can see that we follow strictly the evolution of the process. As soon as we have a phase concluded then the Court of Account oversees this. And in the State Court of Account, there are no deadlines, no official deadlines. So they follow the process and we believe this is the best way to do this. So our schedule is preserved and we already count on this kind of supervision or oversight. In the case of the Union Court of Accounts in their rules they do have some regulatory deadlines and they are also contemplated in our schedule. And the next step to be approved is the approval of the BRL3.7 billion in the concession bonus according to the Ministry of Mines and Energy. So we believe that this will be concluded still within this quarter and that we will keep the schedule up to October. And the reporter has already been chosen [indiscernible]. So it should be done by the end of the first half of this year. Everything is according to schedule.
Operator: [Indiscernible]
Unidentified Analyst: Good afternoon. Congratulations for the presentation for the results. I have two questions. One about the waiver, could you say something about the debenture holders appetite? Second, about your debt. Do you have a target for -- or do you intend to keep the current level of indebtedness or going back to the previous levels? Matteo Pescatori from Marine Broker.
Cassio Santana da Silva: Good afternoon, Matteo. In relation to the waiver as I said before, we are having a very positive return. This is good for everybody and for the debenture-holders. So they are very much interested in the process and it will continue as planned. Regarding our debt today we have 2.5, leverage and this is a very reasonable level. Now we are assessing the possibility of having a primary offering so that we may think about [Indiscernible] Corporation COPEL with a very good investment capacity. And -- but our leverage is as we expected for this period.
Operator: [Foreign Language] [Operator Instructions] The Q&A session has come to an end. And now I would like to turn the floor over back to Mr. Cassio Silva.
Cassio Santana da Silva: I would like to say that, I'm very thankful to all participants for the questions for the interest in COPEL showing the importance of the company to you. And you play an extremely important role in the sector. Our responsibility, as management is to keep our focus on our core business of operating increasingly efficient manner in each cycle. And we deliver our best effort and our whole energy in the process of transformation into a corporation. We follow the best practices in governance, transparency and compliance and it has a potential of unleashing a great value for COPEL, for employees, for the electricity system in Brazil and for shareholders. Thank you very much. And we are very excited to continue on this journey. Thank you very much.
Operator: COPEL's conference call has come to an end. Thank you very much for participating. And we wish you an excellent day. Thank you.